Operator: Good day, and welcome to the Pyxis Tankers' Conference Call to Discuss the Financial Results for the Second Quarter 2019. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on the Pyxis Tankers' Web site, which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Henry Williams, Chief Financial Officer. I’d now like to introduce Pyxis Tankers’ Chief Executive Officer, Eddie Valentis. Please go ahead, sir.
Valentios Valentis: Welcome, everyone, and thank you for joining our call for the three months results ended June 30, 2019. Before starting, please let me draw your attention to some important legal notifications on Slide 2 that we recommend you read including our presentation today, which will include forward-looking statements. Thank you. Turning to Slide 3. Our results for the second quarter 2019 reflected an improvement from an operating perspective over the comparable period of 2018 and over our Q1 results. In Q2 '19, we generated time charter equivalent revenues of 5.5 million, 7.6% higher than the same period in 2018. We had a net loss of 1.6 million or $0.08 per share for the second quarter of 2019 versus a net loss of 1.3 million or $0.06 per share in the same period in the prior year. Our adjusted EBITDA for Q2 2019 increased by 200,000 to 1.3 million. As previously mentioned, charter rates for the product tanker sector were extremely depressed last summer and into the fall. While there was a nice uptick late last year into early 2019, since then, the spot market has been challenging. Consequently, we have taken a more conservative view regarding vessel employment. Our operating results for the second quarter 2019 reflected the stability and contribution from staggered time charters we entered into for our medium range MR product tankers as well as continued cost discipline. In Q2, 2019, the average daily time charter equivalent for our MRs was almost $13,600 per day, about 1,000 higher than Q1. We expect chartering activity to continue to be choppy through Q3 2019. All of our MRs continue to be employed under time charters of varying durations. Starting in the fourth quarter, we expect the market to improve significantly beyond the historical seasonal upswing, primarily due to the worldwide impact from the introduction of IMO 2020. Our fleet and existing chartering activity is shown on Slide 4. Two of our younger MRs are fixed under time charters at higher rates, averaging approximately $15,400 for one year with the charter’s option for an additional year at $17,500 per day starting Q2 2020. Our two other MRs will be delivered to us in the fourth quarter; and with charter rates expected to increase, we should improve our operating cash flow. As of August 8, we had 46% of our remaining available days for 2019 covered, exclusive of any extensions. The MRs have an average daily rate of approximately $15,100, which is $700 higher than the average for one-year time charters over the last seven years. As you can see, our small tankers continue to operate in the spot market. We expect to continue to utilize our mixed chartering strategy for the near term. Please turn to Slide 6 for a brief update on the product tanker market. Inventories of major refined products worldwide currently approximate five-year averages, but that’s generally higher than last year. In our opinion, slower global economic activity is a contributing factor. In the short term, we expect the chartering environment to continue to be choppy due to additional factors including seasonal softness, longer refinery maintenance programs, new tankers hitting the market, and minimal arbitrage opportunities. We are concerned about the effects of rising trade tensions and recent geopolitical events which could undermine global economic growth. Turning to Slide 7. Overall, we expect a better and sustainable market starting Q4 2019. Our outlook is based on demand growth of 3% per annum with modest ton-mile expansion from the changing refinery landscape. Moreover, the MR2 sector should be a primary beneficiary of the new IMO 2020 fuel regulations, which should provide incremental demand for our class of vessels. The distribution of new compliant low sulfur fuel through the massive global network of ports and marine storage facilities should further increase ton-mile demand and expand trading routes for MRs. The return of arbitrage opportunities for the sector could be icing on the cake. The MR2 order book continues to decline. While a significant number of MRs are scheduled for delivery in 2019, new ordering activity continues to be relatively low. Slippage in new tanker deliveries is expected to continue to be significant in 2019. Demolitions should increase given the large number of MRs which are 19 years or older, especially in light of the impact of the new environmental regulations on older, less efficient vessels. Availability of cost effective capital continues to be tight industry-wide further constraining the placement of new orders. Consequently, we believe net fleet growth for MRs will be less than 3% in 2019 and lower in 2020. Turning to Slide 8. MR2 asset prices have increased over the last few years, especially for modern eco-efficient tankers, but are currently at or below 10-year averages. There continues to be attractive opportunities to acquire second-hand tankers at reasonable prices and capture the potential upward movement of charter rates. So, our sector has positive near-term fundamentals and the major catalyst of IMO 2020 combined with relatively attractive asset values, which we believe translates into an attractive entry point to enhance stockholder value. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudited results for the three months ended June 30, 2019 on Slide 10. Our time charter equivalent revenues for Q2 '19, which we define as revenues net minus voyage-related costs and commissions, were $5.5 million or an increase of 7.6% from the same period in 2018, primarily as a result of higher MR rates. In Q2 '19, our daily TCE rate fleet-wide was $11,542, up over 13% compared to 2018 period. Results for the small tankers negatively affected TCE and utilization. Turning to Slide 11. We incurred a net loss of $1.6 million for the three months ended June 30, 2019, or $0.08 basic and diluted loss per share based upon 21.08 million weighted average shares outstanding compared to a net loss of $1.3 million or $0.06 diluted loss per share based upon a slightly lower share count. The improvement in TCE revenues of $400,000 was primarily offset by an aggregate $200,000 increase in vessel operating expenses and G&A costs, which resulted in an improvement of adjusted EBITDA of $200,000 to $1.3 million for the period ending Q2 2019. However, interest expense rose significantly compared to the same period in 2018 due to higher LIBOR-based interest rates, which affected our floating rate bank loans as well as debt refinancing on four of our ships at higher cost. Please turn to Slide 12, which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel in one reporting period can have disproportionate effects on the total fleet operating results. Focusing on the quarter ended June 30, 2019, we would like to point out two key takeaways. TCE for our four MRs averaged approximately $13,600 per day with our eco-efficient MRs generating almost $14,300 per day per unit, and unfortunately the average TCE for our small tankers declined significantly to less than $5,000 per day with the utilization negatively affected by greater off-hire experienced in the spot market. Turning to Slide 13. We believe it’s important to review total daily operational costs to run and manage a public tanker company, including overhead. These costs vary by fleet composition, new vessel delivery, company operating structure, dry dockings, and management. We define total daily operational costs as vessel operating costs, technical and commercial management fees, plus G&A expenses. For comparative purposes, we believe that the total daily operational costs of our eco-efficient MR2 tankers continue to be stable and very competitive within the industry, despite our small size. Please turn to Slide 14 to review our capitalization as of June 30, 2019. At quarter close, our consolidated leverage ratio was on par with other publicly-traded tanker companies, as net funded debt stood at $60.4 million or about 60% of total capitalization. No balloon principal payments are due for another three plus years. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Valentios Valentis: Thanks, Henry. We believe that Q4 2019 will be the start of a better and sustainable product tanker market, leading to improving charter rates, cash flows, and asset value. Our current mix of staggered time charters and spot exposure should assist us in managing a potentially choppy environment in the short term and then position us to take advantage of expected increasing rates later this year. Utilizing our cost effective operating platform and deep management experience should enhance our shareholder value. In conclusion, we feel confident in the long-term sector fundamentals, excited about the potential opportunities created by IMO 2020, and our position to capitalize on future events. I thank you for joining our call today and look forward to reporting on further progress at Pyxis Tankers.
Q - :
 :
Operator: Thank you. That does conclude this conference for today. Thank you all for participating. You may all disconnect.